Operator: Good day, everyone, and welcome to the Bally’s Corporation Second Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I’d now like to turn the call over to Mr. Charlie Diao, Senior Vice President and Treasurer for Bally’s. Please go ahead, sir.
Charlie Diao: Good afternoon, and thank you for joining us on today’s call. The earnings release and presentation that accompanied this call are available in the Investors Relations section of our website at www. ballys.com. With me today are our Chief Executive Officer, Robeson Reeves; our President, George Papanier; and our Chief Financial Officer, Marcus Glover. Before we begin, we would like to remind everyone that comments made by management today will contain forward-looking statements. These forward-looking statements include plans, expectations, estimates, and projections that involve significant risks and uncertainties. These risks are discussed in the company’s earnings release and SEC filings. Financial results may differ materially from the results discussed in these forward-looking statements. In addition, during our today’s call, management will refer to certain non-GAAP financial measures, reconciliations to the most comparable GAAP financial measures are included in the schedules contained in our earnings release. We do not provide a reconciliation of forward-looking non-GAAP financial measures due to our inability to project non-recurring expenses and one-time costs. Finally, I also want to note that we will not be answering questions regarding the press release issued on July 25, 2024, which describes the merger agreement between Bally’s and Casino Queen, an affiliate of Standard General, as well as the special committee’s unanimous recommendation of the merger with cash consideration of $18.25 per share and the opportunity for rollover election by shareholders. The combined company will remain a publicly traded registrant under the Securities Act. We plan to provide an investor presentation on our website at a later date and note that a proxy statement will be filed with the SEC within 45 days of last week’s announcement. This call is also being broadcast live on our Investor’s website and will be available for replay shortly after the completion of this call. With that, I will turn the call to Robeson Reeves, our CEO.
Robeson Reeves: Thank you, Charlie. We’re pleased to have you join us today to discuss Bally’s 2024 second quarter results and provide updates on the long-term growth prospects for our 3 business segments. Second quarter revenues increased 3% year-over-year, reaching $622 million, reflecting growth in 2 of our 3 segments. A Casino & Resorts segment saw a 3% increase in revenue, while revenue from North America Interactive segment grew a substantial 95%. In the UK, our business continues to perform very strongly, generating a 9% revenue growth increase, while our International Interactive segment saw an overall 7% revenue decline due to our non-UK operations. Despite the full segment revenue decline, adjusted EBITDAR margins improved approximately 130 basis points year-over-year. We continue to benefit from the measures we rolled out ahead of the UK whitepaper implementation and looking forward to the benefits from online sports betting following the soft launch during the quarter. I’ll begin today’s call with a discussion of Bally’s recent announcements before touching on our development pipeline and our Interactive businesses. I’ll then hand the call over to George, who will discuss our C&R business; and to Marcus, who will provide a more detailed analysis of our quarterly financial performance. As everyone is aware, subsequent to the end of the quarter, we entered into a binding term sheet for $940 million strategic construction and financing arrangement with Gaming & Leisure Properties, which includes funding to complete the construction of our flagship permanent casino in Chicago. With GLPI, we also entered a sale-leaseback transaction for Bally’s Kansas City and Shreveport for $395 million and modified our sale-leaseback agreement of our Lincoln property, bringing the total transaction to over $2 billion. This is a key milestone for our Chicago development. George will go into this in more detail, but suffice to say, we are now fully ready to plant our flag in the heart of the City with our Bally’s Casino Chicago permanent resort. This permanent resort will benefit from the ongoing ramp of our temporary facility as we are building and evolving customer relationships and establishing our presence with the City’s various stakeholders, while gaining additional valuable insights into the market. Though, we won’t be taking questions regarding this on today’s call, I want to address last week’s announcement that the company has entered into a definitive merger agreement with The Queen Casino & Entertainment Inc., a regional casino operator with 4 casinos in three states. This merger will expand our platform and databases, while further diversifying the markets in which we operate. Moreover, combining The Queen Casino & Entertainment development pipeline with our own current growth initiatives provides a clear path to increased revenue, cash flow and value accretion for the company. Turning to Las Vegas, we are moving forward with the demolition of the Tropicana and expect the planned implosion of the hotel tower to occur in October. We remain on track to hand over the 9-acre portion of the site to MLB’s Athletics, who plan to begin construction of their new stadium in 2025. Importantly, we continue to assess our options for the highly valuable land next to the stadium. In New York, it appears the licensing submission process will occur in June of 2025, with the winner to be announced in early 2026. We remain extremely excited by the opportunity to develop a world-class integrated resort adjacent to Bally’s Links at Ferry Point in the Bronx, which will add yet another must-see destination in the Big Apple. With all that said, I’ll now turn my attention to our International Interactive and North America Interactive segments. Within International Interactive, we continue to generate strong results from the UK business, where we’re taking share and benefiting from strategies to acquire customers in a cost-effective manner. The soft launch of online sports betting in the market will prove to be an additional channel for customer acquisition and growth, and we’re looking forward to the full scale benefits of this product as the year progresses. Outside of the UK, we’re working within our strategy of maximizing profit yield and reducing uneconomic marketing. In Asia, we continue to manage through some issues which are impacting business volumes. While we had seen signs that the region was beginning to stabilize, it now appears likely that challenges will remain for the foreseeable future. It is our view that over time, Asia will stabilize and return to growth. Across Europe, we’ve seen some growing traction for our offerings, including improvement in Spain following the lifting of advertising restrictions. Our North America Interactive segment, again, delivered a very strong quarter as we benefited from a full quarter of iGaming in Rhode Island, which launched in March, and continued success with our operations in both New Jersey and Pennsylvania. In the quarter, we generated approximately $6.7 million in net gaming revenue in Rhode Island, and this market is still very much in the early innings of its growth trajectory, as it only launched in March. Furthermore, with the ongoing successful rollouts of Bally Bet across our markets, we’re generating improved volumes and profitability, particularly as the transition onto Kambi and White Hat platforms has gone a good customer feedback and helped us differentiate our offering. We expect to launch sports in additional 4 states in the second half of the year and continue to plant the seeds for expanded iGaming across our geographies. Please remember, as you model our North America Interactive results over the balance of the year, we continue to expect to incur an adjusted EBITDA loss of better than $30 million in 2024, with losses decreasing in a non-linear fashion. With that, I have a few closing comments before turning it over to George for further details on our operational performance over the last quarter. We have delivered the funding for a Chicago Permanent Casino resort. We will continue to diligently deliver a development pipeline, including our roots profitability in North America Interactive, and we will maintain our focus on core profitability and growth from C&R and our International Interactive segments. We look forward to sharing additional milestones with you all again soon. George?
George Papanier: Thanks, Robeson. I’ll begin my remarks on C&R with a look at our headline results and some comments on several of our markets before diving into Chicago and the meaningful progress we’re making there. The Casino & Resorts segment delivered revenue growth of 3% in the quarter, driven by the continued ramp in Chicago and general stability across our portfolio with some exceptions. The presentation to our Rhode Island properties, particularly Lincoln, was again impacted by the Providence Bridge disruption on Interstate 195, the critical connection between Rhode Island and Massachusetts. This has led to lane closures that disrupt traffic during peak periods, a situation which will continue for the foreseeable future. During the quarter, we also saw some elevated promotional activity from Massachusetts operators that we believe had an incremental impact on our business. Despite this, we’re confident that volumes will return once construction is completed, given our recently refreshed amenities and overall superior product and player loyalty. Atlantic City had a somewhat difficult quarter as we were impacted by turnover in our relationship marketing team. We were working aggressively to reestablish ourselves with those players and have introduced a new relationship team to drive incremental and new customer visitation. Unfortunately, the timing of this was particularly impactful as it came heading into Atlantic City’s peak season. Aside from these challenges, our property portfolio continues to perform well relative to expectations and is benefiting from what remains a relatively healthy consumer, particularly in the mid- and upper-end segments of our database. Though, as you’ve surely seen and heard from our gaming peers and from other consumer discretionary businesses, we are watching the lower end closely as we are seeing some signs of spending the piece [ph]. That said, we are in the process of taking several actions to offset some of the top-line challenges I mentioned and hold the line on profitability. Moving on to Chicago, we are progressing on two fronts following the recent $940 million funding commitment, we received from Gaming & Leisure Properties. Thanks to our alliance with GLPI, there is now no doubt that Bally’s Chicago Casino and hotel is coming to the banks of the Chicago River. We’re committed to bringing the project delays as part of the single-phase development plan that features a reimagined and elevated design that ties nicely to the Chicago skyline. We remain on scheduled to deliver a casino with roughly 3,300 slots, 170-plus table games, a 500-room hotel tower, 3,000-seat theater, 6 restaurants, cafes, a food hall, and a 2-acre public park by the second half of 2026. Our team is working closely with city officials to secure their approval of the new site plan and architectural drawings. At the same time, demolition is underway as we begin to clear the Tribune Company’s existing footprint from the site. With the updated site plan and shift to a single phase of construction, the budget for hard construction costs is now roughly $1.3 billion, with the majority of these costs expected to be incurred over 2025 and 2026. This is a very exciting time for a company, and we are delighted to be working hand-in-hand with our development partner, GLPI to bring our vision to life. While development of the permanent facility ramps up, we continue to ramp up operations at our temporary facility, while expanding our customer database and developing key relationships with players and other Chicago stakeholders. Admissions reached nearly 120,000 visitors in June, and we have now surpassed 1 million total visitors to date. Our database has grown to exceed 100,000 players. As I said on our last call, each day our team is gaining a deeper understanding of our customers and putting this knowledge to work at a temporary facility while we develop our plans for the permanent facility once it opens. Bally’s service began in late second quarter to healthy customer feedback, and we’ve successfully expanded our bus routes to the property from various areas of the city with ridership up 15% over the last quarter. In addition, our VIP lounge opens this week, which we believe will lead to stronger play with the key customer demographics. Turning to Las Vegas, demolition of the Tropicana is underway, and we are planning to bring the hotel tower down in October. This work is on track to allow the A’s to begin their stadium development next year ahead of their relocation to Las Vegas for the 2028 Major League Baseball season. At the same time, we continue to evaluate development options for the remainder of the 36 acres and remain optimistic about the possibilities for this site. Finally, a note on New York. The process for awarding the downstate license remains fluid, though we are now assuming the license will be awarded in the first quarter of 2026. We believe our site at Bally’s Golf Links at Ferry Point is superior to the sites offered by our competitors as we think the economic benefit to that area of New York will more positively impact the lives of many local residents who direct jobs in our proposed resort and through the residents that will service our facility. With that, now let me turn it over to Marcus.
Marcus Glover: Thanks, George. As Robeson and George highlighted, we had a good 2024 second quarter across the board, despite several market-specific headwinds. Second quarter revenues on a consolidated basis increased by 3% year-on-year to $622 million, with gains in 2 of our 3 operating segments. Revenue for our Casino & Resorts segment rose to $343.1 million, up 3% as strength in many of our markets was impacted by the one-off headwinds in Rhode Island and Atlantic City. Adjusted EBITDAR for this segment was approximately $100 million, a 10% decrease from the previous year due to largely to the aforementioned market-specific issues. Segment margins of 29% were closer to 36%, when excluding our Atlantic City and Chicago operations along with the ongoing wind down of the Trop. As George mentioned, we are actively taking steps across our C&R portfolio to expand margins and enhance profitability, all while continuing to grow the business. Within International Interactive, the UK remains the crown jewel with revenues increasing 9% year-over-year in U.S. dollars and by 8% on a constant currency basis. With the segment overall, revenues declined 7% year-over-year to $229 million, primarily due to some softness in our non-UK operations. Despite this, segment adjusted EBITDAR margins expanded 130 basis points to 35%, leading to segment adjusted EBITDAR of $81 million, a decline of 4% year-over-year on the back of strong UK profitability. North America Interactive generated revenue of $49.2 million, a 95% year-over-year improvement. The segment generated an adjusted EBITDAR loss of approximately $7 million as we benefited from a strong start to iGaming in Rhode Island and a solid online sports betting results. We continue to expand losses to narrow as the year progresses, driven by our strong iGaming position in New Jersey, Pennsylvania, and now Rhode Island and the continued improvement in our Bally Bet operations. Turning to our capital structure, at the end of the quarter, shares outstanding were approximately $40 million, with incremental warrants, options, and other dilution representing approximately 13 million shares. We ended the quarter with $155 million of cash on our balance sheet and $3.58 billion of net debt. Shifting to our outlook for the remainder of the year, recall we guided 2024 revenues to a range of $2.5 billion to $2.7 billion and adjusted EBITDAR to a range of $655 million to $695 million. Given the performance in the first half of the year in our Casino & Resorts segment, and headwinds in certain International Interactive markets excluding the UK, we believe achieving the lower end of this range is most likely. This outlook incorporates similar trends in Casino and Resorts, the UK remaining strong, and North America Interactive continuing its path of operational improvements. Additionally, we are reducing our CapEx spend to approximately $115 million for the year, down from our initial estimate of approximately $165 million. This excludes spending in Chicago and Tropicana. In closing, we are excited by the number of growth opportunities in front of Bally’s and optimistic that we are putting into place the right operating processes to further improve our existing businesses. Furthermore, we are delighted to strengthen our alliance with our partners at GLPI to bring our new permanent Chicago casino to life. At this time, we will now open the call for questions and answers. Operator?
Operator: Thank you, Mr. Glover. [Operator Instructions] We’ll go first this afternoon to Barry Jonas of Truist.
Unidentified Analyst: Hey, guys. This is [Permir Sabani] on for Barry. Thanks for taking our question. Just got a quick two-parter. Does a new kind of post-deal structure change anything operationally or strategically for you guys, for instance, are there any synergies that we should be thinking about to clean assets? And are there any kind of assets that you would deem non-core to the strategy at this stage?
Robeson Reeves: Can you repeat the second part of that? The second question? I’m sorry. I just want to make sure we answer.
Unidentified Analyst: Yeah, just asking, are there any assets that you guys have right now that you deem kind of non-core to your existing strategy? Are you guys on?
Robeson Reeves: No, I don’t think there’s anything that’s non-core within our strategy. In terms of the merger agreement, I think it’s a little bit early to speak on synergies. As we mentioned, starting off the call, we’re not going to spend any time really addressing that merger deal. There’s obviously a diligence phase that needs to be conducted. And obviously, we want to pay proper respect to the regulatory process and get through the proxy for commenting further on that.
Unidentified Analyst: Got it. Makes sense. If I can sneak in a quick follow-up. Pennsylvania Supreme Court upheld your casino license for the Nittany Mall. Just wanted to see how you’re thinking about developing that property following the decision.
Marcus Glover: Hi, I’m George. Yeah, obviously, the lawsuits are behind us. We’re now focused on going through the process and obtaining the appropriate approvals with the BGT [ph]. So we’re focused on that. And timing of construction probably won’t be until the first half of 2025 at this point. As part of that transaction, obviously, there’s a stage relative to arranging the financing for that. And so now that the court has ruled, we are now going through the whole developmental underwriting process and how we plan for that.
Unidentified Analyst: Got it. Thanks so much for taking our questions. I appreciate it.
Operator: Thank you. We’ll go next now to Jeff Stantial at Stifel.
Jeffrey Stanchill: Great. Thanks. Good afternoon, everyone. Thanks for taking our questions. Maybe starting off here on Casinos & resorts, a lot of the process here with some of the various headwinds that you cited in the press release and in the prepared remarks. I was wondering if you could just quantify the total sum of impact that you saw across Rhode Island, Massachusetts and Atlantic City. And really what I’m driving at here is, I’m just curious what you think segment adjusted EBITDAR would have grown at absent these more one-time headwinds and maybe on a same store basis for Chicago and Tropicana as well a bit of a tricky exercise recognizing that. Just any color you can provide there would help. Thanks.
Marcus Glover: Yeah, Jeff, I probably break those up, a lot in that question you spoke to, three, I think I heard three different markets and so probably ought to make sense to – it probably makes sense to address Rhode Island independent, and then AC a little bit separately, because all of the headwinds that we acknowledged were a little bit different. I’ll start in Rhode Island, and George can jump in and add some color commentary. In terms of quantification of the traffic, I should say, traffic impact more than the bridge, because there’s still traffic flowing through, it’s just constrained a bit and creates some inconvenience. Probably looking at somewhere in the, I’d say, 12% to 15% maybe slightly above that impact. There’s some other regional nuance if you will on, what I would consider to be irrational kind of competitor behavior, and so, we’re seeing some heightened reinvestment, so that’s Rhode Island. Atlantic City, George, can touch on a little bit more, but we’re going through a little bit of property reinvention in terms of redefining our VIP relationships with the host staff, we lost some key folks on that team and repositioning the property a little bit and revitalizing those relationships. I’ll let, George, touch on those two, and then he can finish up with Chicago if he has some different thoughts.
George Papanier: Yeah, I think the one thing we missed is the impact of Tropicana. With that, I think year-over-year, I think it was about $4 million worth of EBITDAR impact. So from a same-store perspective, that obviously had a little bit of an impact on us. Yeah, I think, Marcus is right. I mean, we’re clearly seeing impact from the road closure. It’s not really been in our rated play. Our rated play, we’re continuing to sustain the ability to continue to motivate the customer. But we are seeing a decline in non-rated play. I think it’s about probably within the range that Marcus described. So we’re still trying to look for solutions as it relates to that, providing different options from a customer perspective. So unfortunately, with that, we’re going to continue to deal with that, most likely into 2027 now, is kind of what we’re hearing. So, we’ll be attempting to mitigate that in other ways. What was the other one?
Marcus Glover: Chicago.
George Papanier: Yeah, Chicago, listen, we’re still ramping that property. Our focus really is on continuing to motivate database growth. You just look at how we perform in Q2 versus Q4. We’ve grown GDR 40% in Q2 versus Q4, so we continue to build momentum there. It’s just taking a little bit longer to ramp that property. For over 100,000 people in the database, that’s actually 100% growth since Q4. So, again, our focus and our priorities continue to grow that database as we continue to work our way towards the opening of our permanent facilities.
Marcus Glover: Yeah, just to finish that off, Jeff, as you can see from our commentary, Chicago continues to progress, as George stated. We’re being intentional with nurturing the existing customer base as well as continuing to try to fill the funnel with new introductions and relationships with consumers in that market. Margin will come as we continue to mature as a property, but right now the idea is we are laying the foundation for our permanent casino that will come Q3 of 2026. And so, the idea is we’re going to continue to build that business and make sure that we drive top-line, knowing we’ll eventually get to a better place on the margin.
Jeffrey Stanchill: Great. That’s really awful. Thank you very much for that color. And then maybe for my follow-up question, turning over to the International Interactive business, Robeson, can you just add a bit more color to what you’re seeing currently in Japan that I believe you referenced in the prepared remarks? Is this mostly a function of the government cracking down on your payments and kind of other providers? Is there something else structural that’s driving negative constant currency revenue growth? And then how much has the devaluation in the yen played a role here? Just any additional color you can provide there would be great. Thanks.
Robeson Reeves: Thank you, Jeff. We’re good to acknowledge the devaluation in the yen. Some of the government impacts is largely driven sentiment. So it’s more of a demand. So the audiences capturing new audience has been more challenging. That’s actually been the real issue. That has definitely stifled the sort of willingness to play. Every time historically we’ve seen this, we’ve seen demand to come back and it ebbs and flows. But, yeah, only really a demand basis. The model still works, it still converts. What we’ve shown that even with revenue decline there, we’re still able to convert fairly efficiently down to an EBITDA level, so we’ve got the levers to pull. I would say the reason why some margins aren’t as high particularly as you’d expect given how much we’re converting revenue to EBITDA in Japan, we’re actually investing in growth. So we’re actually spending a bit more on brand in other markets such as the UK, because we’re seeing opportunities there and we think we can grow very consistently in that market. I can give you more color about the UK if you can.
Jeffrey Stanchill: Yeah, sure. Actually before we turn to the UK, I just want to be crystal clear on one thing with Japan. When you talk about more of a sentiment impact and player demand, I guess are you referring to players becoming fearful of, I guess, the kind of pseudo-gray and potential legal action, or are you more referring to wealth effect with anything priced in non-yen being more expensive for them currently or against both?
Robeson Reeves: Yes, things are more expensive for these people, because of the weakening in the yen. It’s not as large in audience searching for the product, as previously seen. So when you actually look at search volumes, there’s less engagement there. Again, that can either be driven by sentiment in the market, but it also can be driven by essentially the cost of entertainment becoming higher, because of the weakening of the yen, so you’ll spend much more on your local currency.
Jeffrey Stanchill: Okay. That’s great. I think you did – not to accrued here, but I think you did mention potentially some color on the UK as well. So, yeah, that offers to hold [to left the local currency as well] [ph].
Robeson Reeves: Yeah. Sure. So we’ve been spending more money on brand advertising, so really trying to get the brand out there. Typically, that’s less effective from a performance marketing point of view, but we really want to invest in making sure that some of our brands such as Virgin and Bally’s grow in the market. Bally’s is doing pretty well. I think it’s record month and revenues it’s been growing consistently now. That’s all about having highly accurate marketing. We’ve definitely improved that code base of our native applications in that market, which has made it easier to drive a better customer experience and we’ve massively advanced that real time monitoring and player management. That both helps us from communicating to our players in a near real-time fashion and I mean sort of split seconds. That also helps from a regulatory perspective and actually that’s been great, because we’re working very closely with the UK Gambling Commission. That relationship is constructive. The reason why I say the business is sustainable, and I’m very confident that the future, the systems we’re putting in place means that we have good play, it’s safe play, and that means that players are staying with us for longer, engaging with us, which is great, given our revenue growth.
Jeffrey Stanchill: Great. Thanks, Robeson. I appreciate the additional color there. I’ll pass it on.
Robeson Reeves: Thank you, Jeff.
Operator: Thank you. We’ll go next now to Chad Beynon of Macquarie.
Chad Beynon: Good afternoon. Thanks for taking my question. Robeson, on the North American Interactive business, I think you mentioned that, we should still expect a $30 million loss for the year, and that’s not going to be linear in the back half, obviously. There’s some seasonality in a number of different factors. So maybe a two-parter on that. I guess, firstly, on the cost side, I believe even though you’re transitioning to Kambi White Hat, there were some extra costs just in terms of two different stacks that you were running on. So, I guess, first question, can you kind of give us an update in terms of where the cost structure is? And then secondly, more importantly, can you give us some additional commentary in terms of timing of different states, kind of how you’re thinking about customer acquisition or cross-sell, maybe just some milestones as we get deeper into 2024? Thanks.
Robeson Reeves: Sure. So thank you, Chad. We just recently launched in Maryland with OSB. We’ve got a few other sports launches coming through the course of the year. I’ll call that the easier, well, the simpler ones, which I’m sure, OSB, which are Illinois and Tennessee. The change from our technology stacks is incomplete, so we’re currently still running both the White Hat PAM and the proprietary Bally’s PAM in North America. During Q4, that will be replaced across Ontario, Pennsylvania, and New Jersey. In both Ontario and New Jersey, we’ll introduce OSB, which will help us from an acquisition perspective to help gain extra revenue. And also, yeah, it will save on some marketing costs, but more importantly, it simplifies how our operational teams can work, as there’s one back office tool, there’ll be one set of tooling, where these people actually have a far better life, and we have a simpler solution to keep on scaling in a more cost-effective way. I’m happy with our progress. I guess to stand out, it’s probably Pennsylvania, where we continue to gain share. We’ll do much more to make sure we’re optimizing our product mix between slots and the table games at the varying tax rates make a big difference to your EBITDA conversion of revenue.
Chad Beynon: That’s great. Thank you very much. And then separately on the CapEx reduction, can you just provide some color in terms of was this more maintenance CapEx, the reduction, smaller projects, and why you’re bringing that down at this point?
Marcus Glover: Yeah, it was a combination of the two. Most of it was some small expansion projects at different properties that we reevaluated and want to make sure that we put a little bit more thought process to each of those projects before bringing those online. And so looking at where we are, spending a little more time with the operational team and fully rounding out our thought process around that allowed us to spend a little more time evaluating.
Chad Beynon: Perfect. Thanks, Marcus. I appreciate it.
Operator: [Operator Instructions] Next now to Jonnathan Navarrete at TD Cowen.
Jonnathan Navarrete: Thank you. And good afternoon, everyone. Just, George, I think you mentioned that the database in Chicago doubled since December, right?
George Papanier: That’s right. We’re at 100,000 now.
Jonnathan Navarrete: Right. That’s good. And could you just let me know what are the revenue EBITDA run rates, the Chicago profitability right now?
George Papanier: Yeah, so the revenue run rates that we – I think, I have to get out of here. But I think from a GDR perspective, we’re at around €13 million on GDR tables and slots. And we had our peak performance in May, but typically from a seasonal perspective is peak. June was a little flat, but that’s more calendar. And then we continue to utilize. Yeah, so I think when you look at us compared to the market, we’re continuing to grow. I think we’re number 2 in table games, and we’re continuing – maybe, we’re number 4 now in slots, I believe. So we’re just continuing to grow. But again, I mentioned earlier that our focus really is on growing database. We just want to just open up the funnel at the top and get as many people in that database, which gives us the ability to market to obviously once the permanent opens.
Jonnathan Navarrete: Got it. And I mean, I’ve missed it, but anything on EBITDAR run rate?
Marcus Glover: We’re not really here at this point in time.
Jonnathan Navarrete: Okay. And nothing for me is, how much in terms of EBITDAR did the Rhode Island Bridge closure caused the company this quarter? And can we expect somewhat of a similar impact for the remaining 2 quarters, should the bridge remain closed or rather congested for the remainder of the year?
Robeson Reeves: We calculate about $2 million on a quarterly basis right now. So a little over $0.5 million a month from an EBITDAR perspective.
Jonnathan Navarrete: Okay. Right. Thank you.
Operator: We’ll go next now to Colin Mansfield at CBRE Institutional Research.
Colin Mansfield: Hi, everybody. Thanks for taking my question and congratulations on securing the financing for the Chicago project. Maybe a couple from our side just on Chicago. I guess the approval process you mentioned that you’re going through with the city right now and the new design, what are your expectations for how long that’s going to take? Is there anything potentially that, it could take a while that this could potentially slow down how you’re thinking about the cadence of construction? Or is there any risk that, I think the target date of September 2026 for the opening? Is there anything with this process that could potentially put that in jeopardy?
George Papanier: And let me take a shot at it. Look, obviously there’s a totally new design and in the set of circumstances, we have to get the specifications and engineering, all the documentation that the Department of Buildings will be able to approve. The new designed additional towers that is resonating with city. I mean, you look at the press. I think there’s consistent degree of support for that. But, practically, there are certain things that we can’t do until we actually have that approved. But there are with our partners, GLPI, there’s things like certain supplies that either long lead time or to get going like buying concrete by materials feel to the degree that you don’t have to buy 100%, first, you can do that over time and we are trying to do every week we can to make sure that we are able to do things in parallel, while we’re waiting for those approvals. And so, the near-term spending may move a little bit to the right, but relative to we will open by September 2026.
Colin Mansfield: Okay. Great. Thanks for the color there. And then just maybe one modeling question from us, of the about $170 million of restricted cash that you guys disclosed, can you just remind us how much of that is actually down at the Chicago subsidiary?
Marcus Glover: There was $58 million of that that got released on 5 days later, because $50 million for the final payment to the Tribune, and then $8 million was accumulated cash coup or interest – banks actually paid interest these days, and those were released with that. So the 171 would be $58 million less 6 days later.
Colin Mansfield: Okay. Great. Thanks, everybody.
Operator: And gentlemen, it appears we have no further questions this afternoon. I’d like to turn the conference back to you members of management for any closing comments.
Robeson Reeves: Yeah, so everyone, thank you for joining us again. I just want to give a few extra comments, just as a reminder, we have delivered on the funding that we promised for our Chicago permanent casino resort. We’ll continue to diligently deliver our development pipeline, and that includes delivering a route profitability for North America Interactive. And we’ll continue to nail our core profitability across our C&R and International Interactive segments. So great to hear from you all. You’ll hear a promise again soon, and see you. Bye-bye.
Operator: Thank you, Mr. Reeves. Ladies and gentlemen, that will conclude today’s Bally’s Corporation second quarter earnings conference call. Again, thanks so much for joining us, everyone, and we wish you all a great day. Goodbye.